Operator: Good morning, everyone, and welcome to Strayer Education Incorporated Second Quarter 2016 Earnings Results Conference Call. This call is being recorded. For those of you who wish to listen to the conference via the Internet please go to strayereducation.com, where the call will be archived. With us today to discuss the results are Robert Silberman, Executive Chairman for Strayer Education; Karl McDonnell, Chief Executive Officer; and Daniel Jackson, Executive Vice President and Chief Financial Officer. Following Strayer's remarks, we will open the call for questions-and-answers. I would like to remind everyone that today's press release contains and certain information on this call may contain statements that are forward-looking and are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act. These statements are based on the company’s current expectations and are subject to a number of assumptions, uncertainties and risks that the company has identified in the paragraph on forward-looking statements at the end of its press release and that could cause the company’s actual results to differ materially. Further information, about these and other relevant uncertainties may be found in the company’s Annual Report on Form 10-K and its other filings with the Securities and Exchange Commission. Copies of these filings and the full press release are available online and upon request from the company’s Investor Relations department. And now, I would like to turn the call over to Robert Silberman. Mr. Silberman, please go ahead.
Robert Silberman: Thank you, operator, and good morning, ladies and gentlemen. We’re going to begin this morning with Karl, discussing our company's operating results for the second quarter, including Strayer University Summerton enrollment, Dan will then report on our detailed financial results for the second quarter and then we’ll stay as long as you need for questions. Karl?
Karl McDonnell: Thank you, Rob. Good morning, everyone. I'd like to begin by providing some additional details on our second quarter financial results that we reported this morning and specifically comment on the roughly $6.5 million of increased operating expenses. First, roughly $3 million of the increase was related to the expansion of the New York code and design academy having received regulatory approvals faster than we had anticipated. As a result, we've accelerated our expansion plans and now plan to open seven new NYCDA locations by the end of this year. This includes locations in Washington DC, Philadelphia, Atlanta, Raleigh North Carolina, Austin, Texas, Salt Lake City and Seattle Washington. In every case except Seattle, these new NYCDA locations will be housed in existing Strayer University campuses to operate. Based on this accelerated growth plan, dilution related to NYCDA in 2016 will exceed our previous range of $0.20 to $0.30 and will more likely be approximately $0.40. Another $1 million of the increase was used to fund additional investments in our academic programs and the remaining increased spend was marketing and advertizing investments to support NYCDA, Strayer@Work, the Jack Welch Management Institute as well as Strayer University. In every case, the increased marketing spend generated results above our expectations, which means we will likely continue to invest additional dollars to support our growth initiatives in the balance of the year. Taken together, these investments will result in full year operating expenses growing approximately 4% to 5% versus the prior year as opposed to increasing 1% to 2% as I had previously indicated. Turning now to our enrollment results for the summer academic term, total enrollments increased 4% from the prior year to just under 39,000 students and our new students increased 6%. Our continuation rates increased 250 basis points, which is on top of the 210 basis point increase we had in the same quarter last year. The increases in student retention are the results of the investments that we have made in our faculty, our technologies and the use of our predictive analytics. The retention gains have also been helped by the Strayer University graduation fund. As of the second quarter, more than 7,000 students have redeemed free courses worth more than $15 million of tuition, substantially reducing the cost of their degree and lowering the amount of their outstanding student loan debt just as we had intended when we introduced the program. Three years after its introduction, the graduation fund is unquestionably aiding our long-term retention. A couple of updates on some other key segments, new student enrollment at the Jack Welch Management Institute grew 18% and total enrollment grew 29%. They also had a 200-plus basis point increase and continuation rate as well. Our national accounts continue to outperform the broader university, total enrolments in national accounts increased 18% versus the prior year and new students grew 4%; however, that 4% growth includes one of our largest clients who had a labor dispute and workforce disruption during the quarter. Excluding the impact of that disruption, new enrollments in our national accounts grew 18%. With today's second quarter results we're half way through 2016 and we've now seen multi-year highs in our enrollment, student learning outcomes and retention. This performance across all of our quality metrics has given us increased confidence to invest more dollars and to accelerate those investments in order to grow the overall company including in area outside of the university. We believe the long-term value of these investments will significantly offset the near-term diluted impact on our reported earnings. Dan?
Daniel Jackson: Thanks Karl, and good morning. I'll start with revenue, which for the second quarter was $108.5 million, down 1% from last year due to a decrease in the revenue per student, which was down about 2%. Our income from operations was $12.9 million for the quarter compared to $20.9 million for the same period last year. Operating margin was 11.9% for the quarter compared to 19.1% in 2015. The roughly 8% increase in total operating expenses as Karl mentioned was the result of accelerated investments in NYCDA academic content and delivery and brand awareness initiatives. Our bad debt expense was 3.8% for the quarter compared to 3.2% for the same period last year, reflecting slower payment by some of our corporate alliances partners during the second quarter. Net income was $7.8 million, compared to $11.9 million in 2015. Consistent with the first quarter this year net income in our second quarter benefited from lower interest expense resulting from the payoff of our term loan in the third quarter of last year. Earnings per share was $0.72 for the quarter, compared to $1.11 for the same period in 2015. Our ongoing investment in the growth of NYCDA resulted in about $0.11 of dilution to our Q2 earnings. Moving to our year to date results, revenues decreased 1% to $219.7 million, compared to $221.6 million for the first half of 2015 due to lower revenue per student which was down about 1%. Income from operations was $33 million for the first half of 2016 compared to $40.8 million in 2015, a decrease of 19%. Our year-to-date results include non-cash adjustments to our lease liability. Excluding these adjustments, income from operations was $31.3 million this year. Excluding the non-cash adjustments, our year-to-date operating margin was 14.2%. Net income was $20.2 million for the first half of this year compared to $23.3 million last year, a decrease of 13%. Excluding non-cash adjustments, net income for the first half of 2016 was $19.1 million. Diluted earnings per share was $1.87 compared to $2.17 for the same period in 2015, a decrease of 14%. Excluding non-cash adjustments, EPS was $1.77 for the first half of this year and year-to-date our investment in NYCDA has resulted in about 17% of dilution to EPS. Our diluted weighted average shares outstanding for the first half of 2016 increased 1% to 10,790,000 from 10,721,000 in 2015. We ended the quarter with $117.4 million of cash and no debt. Our cash from operations for the first half of the year was $22.4 million compared to $43.8 million in 2015 and as I mentioned last quarter, our cash flow from operations for the first half of the year was negatively impacted by couple of onetime events including our investment in NYCDA of which a portion was treated as a reduction to operating cash flow as well as the unfavorable timing of 2015 tax payments made in the first quarter of this year. Regarding capital expenditures, we spent about $4 million during the first half of 2016, compared to $7 million in the same period in 2015. The lower CapEx for the quarter is mostly due to timing and we continue to expect full year CapEx to be up slightly from last year in the range of 3% to 4% of revenue. And finally we continue to maintain our $150 million available revolver. Rob?
Robert Silberman: Thank you, Dan. So just to summarize at a very high level before we open to questions. when we as Management and the Board looked at our business over the last quarter, couple of important themes stood out that I would like to share with you. First, increased new student enrollment and sustained increases in student continuation rates mean that we are starting to firm up and grow our total student enrollment which has been a multi-year process of bottoming out. Second, we received regulatory approvals faster than we anticipated as Karl mentioned for our New York Code Academy investment. So we're happy to ramp up those expenses in that area a little faster than we had planned. Third, we intend through the balance of the year to continue to invest in all of our growth initiatives Jack Welch Management Institute, Strayer@Work, the New York Code and Design Academy as well as continuing to support improvements in academic outcomes that are core asset Strayer University. Our increase in Instructional and Educational will support expenses on a year-over-year basis, largely reflects a lot of the work that Karl and his team are doing in predictive analytics and in academic support functions. Fourth, our multiyear decline in revenue per student is starting to level off as the impact of Strayer University's reduced undergraduate tuition, which we put in place in late 2013 including the graduation fund as that rolls through. And finally I would just reiterate as Dan described since it's very important to us as a Board that our owner's economics are actually better in the first half of the year than the GAAP statement suggests with regard to distributable cash flow, due to that categorization of half of the purchase of NYCDA as a reduction in operating cash flow versus the more intuitive use of it as a cash investing activities and as well as by the timing of tax payments on a year-over-year basis as Dan mentioned. And with that operator, we’d be pleased to answer any questions.
Operator: [Operator Instructions]. Our first question comes from the line of Peter Appert with Piper Jaffray. Your line is now open.
Peter Appert: Thanks. Good morning. Hoping you guys might give us a little more color on the current and projected economics of NYCA right, what are the current revenues, what are the current enrollments, what are the unit economics associated with opening these new locations?
Karl McDonnell: Well it's quite small now Peter. They have operations in New York City and a very small activity overseas in Amsterdam just a few hundreds of students. The economics of opening the new units I think directionally as we thought about it or similar to what we saw and experienced as we started our campus rollout plan, but at a much lower level for the -- the most important reason is that most of these units were going to open up during the day inside of our physical campuses. So it'll be -- we don't have anything to share at this point because frankly we're still modeling that out. But I would say directionally it will be quite a bit less than our previous campus rollout strategy where we had operating losses of around $1 million or so in the first year or a year and half before we broke even, we expect these to be lower and to breakeven faster, but as an entity when they get the maturity they’re probably going to be smaller as well.
Peter Appert: Okay. So it sounds like those since you’re rolling out a significant number of new locations all in the end of this year sounds like the operating cost burden probably steps up meaningfully on the full year basis going into '17, is that fair and therefore the dilution would likely be higher?
Karl McDonnell: Well, let’s talk about operating costs and then dilution. Certainly operating costs for the latter half of this year and '17 will be significantly higher if we get all our nine units opened. Dilution will depend on how quickly the revenue ramps.
Peter Appert: Right. But what do you think in terms of enrollment momentum within the existing locations?
Karl McDonnell: Well, in New York it’s strong, That's one of the reasons why you're attracted to it.
Peter Appert: Right. Can you quantify it because if it’s a few hundred students it sounds like I'm not -- hard to extrapolate given the small scale of it currently?
Karl McDonnell: Well it is, as I said. it is relatively small and as we have more data and more experience on this we’ll share it. At this point it's fully consolidated. We haven't broken it out. It is a nascent operation at this point.
Peter Appert: Got it, all right. Thanks. I will let someone else ask some questions.
Operator: Our next question comes from line of Trace Urdan with Credit Suisse. Your line is now open.
Trace Urdan: Thanks. I’m going to keep pushing a little bit further Rob I think, it seems clearly the case that when the Board contemplated this investment there was some kind of ROI that was contemplated around what this level is invested would return. So I think it’s a fair question to ask how you guys are thinking about that. Is this a kind of thing where it’s going to be incremental investment for several years before we begin to see a contribution to overhead or is this a kind of investment where you think that it’s going to be more rapid and we might actually see a positive contribution to overhead beginning in 2017?
Karl McDonnell: When you said, you mean a positive contribution to operating income?
Trace Urdan: Yes, you expect it to be positive, right?
Karl McDonnell: You’re going to see a…
Trace Urdan: It’s going to be generating cash.
Karl McDonnell: Yes, you’re going to see an impact on overhead immediately if you think of the operating costs. But yeah we -- as I said, we expect based on what we understand about this business, we expect this to breakeven at a faster rate than our original campus strategy and so if we are successful and if again it's important -- these are our educational function. So before we get too wrapped up around the revenue and the contribution operating income, what we really need to establish is are we teaching coding well and are the students achieving the learning outcomes and are they in the case of Code Academy are they achieving the employment outcomes as well. But and so our focus over this first year is to make sure that we do it right and that we get those both learning outcomes and employment outcomes. But to your point, we would not have made the investment if we didn't think it did have a very attractive return picture, a very attractive return on investment. And in terms of seeing that we're going to -- if we have the nine campuses opened by the end of this year, you're going to see that increase in expenses certainly in the latter half of this year and it will be in our expense space in 2017 as the revenue ramps which we hope it to do in '17 you'll start to see some positive operating income as well.
Trace Urdan: I guess that -- let's try one more time. So I don’t think anybody disputes this is a good thing for you to be doing. I think that what I’m struggling and I have -- and this one is for Peter – but what I’m struggling with a little bit is the scale at least as far as you’re contemplating it, right. So I guess that making an incremental investment at an existing campus you’ll get to breakeven on that incremental investment faster than you might on a bigger scale if you were opening up a new university what it used to. But I’m more interested in the kind of multiyear conceptually how large an opportunity is this relative to your core business in your view and how large scale investment are we talking about or is it just that you don’t know the answer to that question yet?
Karl McDonnell: Well, let's try step-by-step -- to try and scale out the size of the investment again it'll be significantly less than opening new campuses because we’ve got the physical facility. The ultimate size what I think you're asking is how big could this get…
Trace Urdan: I’m less interested in the unit economics of a single campus than I’m in terms of the overall art of this business that you’re clearly investing in this year possibly next year many years of investment is appropriate at the scale of the opportunity is large enough. But I'm just trying to get a handle on that?
Karl McDonnell: Right. I don't have anything specific for you right now Trace, but suffice it to say that when we looked at the coding business we think that it has some very positive characteristics particularly relative to the Core University in terms of both supply and demand. We think that our ability to teach it well fits into our core competency and we do feel as if it can be a meaningful part of the enterprise going forward. But it is a relatively small investment right now. It has outsize impact of visibility because a lot of it runs through the income statement versus the balance sheet. And as we have more data on this we’ll certainly let you all know. What we can tell you now is that because our regulatory approval process happened quicker than we anticipated and because what we've seen so far from the New York experience is positive, we're happy and eager to go ahead and open up these units to the balance of 2016 and then I would say that we’ll have a better view as we get into the middle part of 2017 as the ultimately what the top end of this could look like.
Operator: [Operator Instructions] Our next question comes from the line of Corey Greendale with First Analysis. Your line is now open.
Corey Greendale: Hi, good morning. This is beginning to feel like a little bit of a dead horse but I’ll move on to a different topic but maybe little different ankle on the same question. So with the campuses historically you were very deliberate in terms of the number of new campuses coming gradually increasing - no, new campuses gradually increasing every year. So going to such as big number quickly I think is really part of what I am surprised by. Can you just talk about the operating model. In the campuses the concept was you would cultivate leaders at existing campuses and kind of transplant them to new campuses, it’s there some equivalent of that or what’s the personnel and capital required for each new campus.
Daniel Jackson: It’s a great question. Karl go ahead.
Karl McDonnell: Yes Corey, the staff investment for these first locations is quite low. One of the key roles that we hire almost immediately is somebody who is focused to Rob's point on the outcomes for the program completers the graduates if you will. Part of the value proposition in this business is that people are career switching and so as it's incumbent upon us that we make sure that we’re working with employers to find good job opportunities for the people that are completing. So that’s the hire we make almost immediately. We are finding or going into this believing I should say that we’re going to be able to leverage some of our existing personnel to help with enquires, enquiry management that were not at this point contemplating that we would be hiring additional people to interact with prospective students. We think that we can use existing assets to do that. So the upfront investment particularly in a location where we have a campus which is all of them but Seattle is very low and in New York there is essentially two products, the full time daytime product and a part time evening product. So the blended revenue per student is $8,000 to $10,000. So when you’ve got relatively fixed, relatively low fixed divestments initially one or two people and you’ve got revenue per participant $8,000 to $10,000 to Rob’s point it’s not going to take that long to break even but this is a brand new business for us. We believe the supply demand economics are very favorable in coding and web development and mobile app development and so forth so we’re eager to do it but we’d like to get these opened and get all the information and to Rob's other point we’d be happy to share once we have it.
Daniel Jackson: And the other things I would say Corey, to just put in perspective your question. The process of teaching a 10-week coding skill to someone who probably already has a college degree is in our judgment a less risky academic endeavor than opening up a brand new university unit in which case some close to two-thirds of those students are adults who do not have a – they only have a high school degree, they’ve been out of the class for a very long period of time and you’re going to have to engage with them over a multiyear process in which there are number of opportunities for that student to bail out. So the human capital charge if you will, I think is a little easier in this business than in expanding the university but we're also pretty new at this. So we’re - and your point about 9 at once is a good one. We thought long and hard about that but because they are relatively smaller and the caliber of the student that’s coming in is more prepared and we’re going to have more immediate feedback as to our success and be able to make course corrections given that it’s only one 10 or 12-week course gave us the willingness or the confidence to go ahead and roll to the south this quickly.
Corey Greendale: Okay. Sorry Daniel, that’s very helpful. I’ll ask one more about this then I promise I’ll move on to something different.
Daniel Jackson: We don’t mind getting ridden like a horse, it’s fine.
Corey Greendale: That's a bizarre visual image, but okay good. The quality, so you're going to have to hire people in all these new markets getting people who are mission driven are interested in teaching but still if you are capable coder there is a lot of job opportunities out there and high pay for you so how are you thinking about the scaling the instruction and ensuing the quality of instruction when you are opening this at last.
Daniel Jackson: It’s probably by far the biggest operational risk. Karl?
Karl McDonnell: Yes, I can just say Corey that when we went into this we identified that as a constraint and potential risk. I can say that so far our experience has been that we’ve been able to find people that we in fact think are well qualified and we're having discussions with individuals who we think will be great instructors in all of these markets but it’s something that we’ll definitely keep our eye on is as expansion continues. You’ve correctly identified what could be a risk. So far our early experience has been that we are able to find people that we think are going to be very effective instructors.
Corey Greendale: Okay, good. Then a couple of other things. Bad debt was higher than it has been in the past several quarters. Is that because of NYCDA or what caused that?
Daniel Jackson : Corey that was a couple of our corporate alliance partners had a pretty big outstanding balance by the end of the term and we had slightly lower recoveries from previously written off balances so. So it's still within our stated range of 3% to 4% but yes, it was up from last year.
Corey Greendale: Is there actually a risk of nonpayment from corporate customers?
Daniel Jackson : Not really, but we still reserve it. Usually it’s a pretty small number. If it were to become a regular impact then we would look at whether or not it makes sense to reserve but our practice has been to reserve it.
Corey Greendale: Okay. And Dan should we expect - how should we think about what that debt will look like for NYCDA as that scales?
Daniel Jackson : Right now it’s small but as it grow, it will definitely be, there will be some bad debt we expect but I think it’s too early to say.
Karl McDonnell: Well it’s small relative to our overall because it’s so little revenue but Corey, this is not title for support. That was one of the attractions to it for us which means that we do have to think hard and look at in each quarter what kind of credit we’re extending to students. In general these are probably more credit worthy students than some of our core university students but as Code Academy gets bigger, it could have a bigger impacts on our bad debt if we’re not careful with regard to our credit policies.
Corey Greendale: Okay. I appreciate taking all my questions. What are cash flows, to people we pay upfront before they start class or is it installments or how does that work?
Daniel Jackson : It’s a combination of both of those. So many of the students will pay cash at the beginning of the course and then we do have students that pay throughout the course. All the students are required to pay by the end of the course.
Corey Greendale: Okay. So once you are out you should be fully paid up or else you are…
Daniel Jackson : You'd out of terms based on the payment plans that are presently offered.
Corey Greendale: Okay, understood. And then I just want to make sure Karl when you said operating cost up 4% to 5% in 2016 that was all in that’s including the dilution from NYCDA?
Karl McDonnell: Yes.
Corey Greendale: Okay, all right. That's very helpful. Thank you.
Operator: Our next question comes from the line of Jeff Silber with BMO Capital Markets. Your line is now open.
Jeff Silber: Thanks so much. To use your analogy I want to jump back into saddle here. Just focusing on the coding school, you mentioned in terms of including management you’d be hopefully using personnel in your existing campuses in the locations that you are kind of collocating. But are you targeting a different student base or can you at least give some of the leads you’ve may have gotten for your graduate school programs in those locations?
Karl McDonnell: It’s a good question Jeff. We get thousands - let me back up. Within Strayer University, we get thousands of enquires a year for people who are interested in technology related degree programs. Clearly not all of those individuals enroll. To the extent that some of those individuals may have an interest in a coding or web development, mobile app development type field then yes, in those cases we see that there is a good opportunity to make them aware of NYCDA and maybe that’s a good fit for them and maybe it isn’t. So, we will certainly communicate the students with whom we already a relationship based on their enquires to the university. Other than that, the typical NYCDA student looks quite different than the average Strayer University student they tend to be younger throughout plenty most of them from an education or entertainment standpoint already have the degrees. For the most part these are people who for whatever reason were not able to find the job in their degree field when they graduated, and so they are coming in to get a web development background so they can change carriers and get a better job, that's what we defined in the New York Code case.
Jeff Silber: Okay, fair enough. And then just, I am sorry, one question about the dilution. For the remainder of the year is it roughly going to be split between 3Q and 4Q are there any timing issues?
Robert Silberman: Higher in Q3.
Karl McDonnell: Yes, it will be a little higher in Q3 versus Q4.
Jeff Silber: Any specific line item?
Daniel Jackson: Its concentrated up - Jeff, but there is some in all of the line items, but as I said more than half of is 90.
Jeff Silber: Got it. And then moving back to core business, in terms of the strong start in enrollment growth that you saw, can we get a little bit of color any difference between grade and under grade business in IT et cetera?
Daniel Jackson: Well JWMI at the graduate level grew 20%, Strayer University graduate students were down slightly. So given JWMI size really all the bulk of the growth that we had was from the undergraduate students.
Jeff Silber: And then business versus IT any news.
Daniel Jackson: I don’t have that Jeff unfortunately.
Jeff Silber: No worry, I can follow-up. Thank so much.
Karl McDonnell: I took look at it, it was pretty standard. It was pretty equivalent.
Jeff Silber: Okay, great. Thank you so much.
Operator: Our next question comes from the line of Sara Gubins with Bank of America. Your line is now open.
Sara Gubins: Thank you. Sorry if I missed this, but could you give us an update on how your unaffiliated bachelor student starts and enrollment trended during past term?
Karl McDonnell: Yes, they were up on year-over-year basis probably 8% to 10%. We have done a lot of work on outcomes, learning outcomes for our unaffiliated students. So their continuation rates are up substantially both quarter-to-quarter and sort of on a cohort basis, based on their first term whenever they starting a year or later. So we have made a lot of improvement in our ability to really teach the unaffiliated undergraduate students. The performance has been pretty strong.
Sara Gubins: And that is a trend, that’s enrollment or new student?
Karl McDonnell: New student.
Sara Gubins: That's new student, okay. And then you talked about how you are seeing marketing being effective and so they are full continuing to invest in it. Can you talk about what you are doing that maybe different or just in general what you are seeing that's working?
Karl McDonnell: Well we are always experimenting with different approaches to branding and advertising and we do that both from a messaging standpoint, as well as the channels in which we advertise. We continue to use the pretty balance spin of traditional media, television radio combined with the digital. And we've seen strong interest on the part of perspective students but we have strong interest on the part of perspective students last quarter and our new students were down. So, our marketing team their primary goal is to just focus on brand awareness and what we like to see is just any time that there is perspective student out there contemplating returning to college to complete a degree the Strayer University will be somewhere on their mind share, so that they will come in and talk with us. So the bulk of the advertising is always just sort of Co-Strayer University branding.
Daniel Jackson: I’d also say, it's starting to get some attraction with regard to the B2B administrator work, that’s spinning over into the brand recognition with regard to the University.
Sara Gubins: Okay, great. So maybe just to follow-up on that and can you give us an update on Strayer@Work. How many signature rolled in it and how that’s been growing, any more detail there, as that evolves in what the economics of Strayer@Work look like?
Karl McDonnell: Well there is three components of Strayer@Work now. One of them is our relationship with FCA, Degrees@Work that program continues to perform very well. Students are faring well on the classroom, there is very high level of student satisfaction. We have some early data out of FCA that suggest that the program is working from a turnover standpoint, as well as the performance of the individuals enrolled and Degrees@Work. So that appears just the a great program, certainly great for us and our feedback from our partner at FCA is that it's really working for them as well, that’s one part. Second part is, we continue to do engagements with large Fortune 100 companies. The Strayer@Work team is active on probably half dozen of those engagements now will be working on those through the end of the year. The third component which is a new component is more of a product focus, where we are taking the research information that we learn by working with this Fortune 100 companies and we're going to be creating more standardized products that we'll be able to leverage across multiple companies. And we are planning on launching the first product within say the next 30 days and we’ll have more to say about that on our next call once this particular product is launched.
Daniel Jackson: And Sara one important point on that is, those products are non-academic revenue so to speak, but my earlier comment was about the more we do things like that and we are successful at it, that builds brand equity, that helps your ability to have Strayer University on the top of employers minds with who are then influencers to their employees as they are thinking about going back-to-school. So we think of it holistically is being part of a broader marketing effort.
Sara Gubins: Okay, great. And then just a last question on revenue per student. I think you'd mentioned that revenue per student should be down about 100 basis points in 2016 when we exclude the impact for Strayer@Work, it was down close for 2% last quarter, would the delta for that should be that to Strayer@Work?
Karl McDonnell: Yes. It's just a timing of Strayer@Work revenue that was a little bit less in the second quarter from the Skills@Work engagements then it was in the first.
Sara Gubins: Okay. Great. Thanks very much.
Operator: We have a follow-up question from the line of Trace Urdan with Credit Suisse. Your line is now open.
Trace Urdan: Hi, kind of a follow-up to Sara's question. I wondered if it might be possible for you guys to comment, last couple of years Strayer University is actually now a portfolio of a lot of diversified offerings right. You got JWMI, you have Degrees@Work, you have affiliated students, you have unaffiliated students and each of those presumably involves different levels of marketing expense. They come in at different price points. And I am wondering if you could just holistically speak to what the trend looks like in terms of the overall economics of your business without trying to get too detailed because I know you won't, but just maybe talk about what the varying rights of growth across these different types of offerings that lack the implications are maybe over the next few years for what your margins might look like as a result?
Karl McDonnell: Sure. Well, let's start with the core university trace where we serve both affiliated and unaffiliated students, there we feel very good. As I said in my comments and echo some of what Rob said as well, we're seeing multi-year highs now in student achievement in the classroom and student retention. And with our summer enrollments, we've now grown our total enrollment for five consecutive quarters or over a year. So we definitely feel good about that. JWMI is becoming a very meaningful contributor now for our results. They're well over a 1,000 students. They're growing 30% a year. They’ve got very high outcomes and very high satisfaction on the part of students and I would say that in the context of the students reporting professional outcomes in the way of promotions and salary increases and so forth and they’ve got a 85% plus MPS score. So we're very willing and happy to continue to invest behind JWMI to support in its future growth. And then in addition to those two assets, we've got Strayer@Work, which is really deepening our long standing ties into the corporate world in the B2B space. And we've got some really interesting insights that we've been able to generate by working with some very large companies including Dow Components and the next phase of that will be to try to productize these learnings into more scalable solutions. It's nascent, it's early, it's minimal investment today, but we think it's got the opportunity to be very exciting in a compelling part of our B2B outreach. And then \finally as we've been discussing this morning, we've got NYCDA and all the potential that we think that that has. And then lastly to your very direct question on where could margins get, given that in the near term, let's say over the next few years we feel like we've got the infrastructure in place to handle tens of thousands of more students than we have today with very little incremental investment other than the variable cost of additional instructors likely. So to the extent that enrollment will continue to grow, we would expect that we would see margin expansion in that scenario. I can't really speak to where could margins go because obviously it depends on what the enrollment is and what the overall expense is, but we have an infrastructure that can support many more students than we have today and we would expect in a scenario where we're continuing to see enrollment growth than our margins would begin to grow as well.
Trace Urdan: So I appreciate all of that commentary Karl, thank you. I didn’t phrase my question well enough I think, what I was really asking was there are lots of puts and takes on margin right. I think each of these products that you're offering at the moment has a different contribution. I know you haven’t disclosed what each of those looks like. We can make some educated guesses right. We know that the Degrees@Work program works because there is a minimal investment in student acquisition cost right and it's been a pretty heavily discounted price we presume. So that has one type of margin associated with it. The JWMI student is different right. That’s a premium price product that we don’t really know what you spent to acquire that kind of student, maybe it's a little bit more and so that presumably has a different level of contribution. And so I was asking around the puts and takes on the margin from the different from what's our portfolio versus the old days, which is a much more straightforward product and I think your overall point is like listen, the thing that really matters to margins is filling up our campuses and I get that. I was just asking for just maybe a little bit of color in terms of this emerging portfolio and kind of what the implications of that are for margins, that’s all.
Karl McDonnell: Sure. Well, the biggest impact on our margins is the core university. So to the extent our enrollment grows, that’s going to have the biggest impact on our margins. I can tell you that JWMI at this point with it's size and the acquisition cost that we see there, that helps our margins. Degrees@Work probably lowers our margins slightly, but again that’s something that we're pleased with just because of the relationship with an organization of the stature and size of FCA that probably puts a little pressure on our margins. The Skills@Work business is probably just very tiny margin compression and we would expect to be flat to up in the back half of this year heading into 2017 and NYCDA remains to be seen. We know that it's dilutive obviously this year and we'll have to see how the revenue ramps up to see if it's going to be accretive or dilutive in 2017.
Trace Urdan: Okay. Thanks for your patience Karl. I appreciate. That was very helpful.
Operator: We have a follow-up question from the line of Corey Greendale with First Analysis. Your line is now open.
Corey Greendale: Thanks for taking the follow-up. This may be simpler, but actually I want to ask a similar question what Trace asked, but backward looking, I am not sure that I can fully articulate why EPS was down $0.39 year-over-year. I know there has been a lot of dilution from NYCDA and you hit a $1 million spend on new product. I know the bad debt is higher, I know it sounds like half of it. Can you just -- maybe a little more fine point them the rest of why EPS was down $0.39?
Daniel Jackson: Well we had a 1.5% decline in revenue per student and in addition to that we had call it $6.8 million more of operating expense, which we bucketed essentially into those three broad categories Corey, NYCDA expansion about a $1 million invested into our academic programs and then the bulk of the remaining into increased marketing and advertising. It's probably helpful Corey to stay I would think for long term shareholders and viewers of our enterprise, this would -- this was understood, but I think it's probably helpful to restate, which is we have a relatively small share count. Deliberately so we’ve repurchased a lot of shares and we have an enterprise that has a lot of opportunities we think for growth and we've never been particularly motivated by earnings per share change in the short term. So if you spend $6 million more, you’ve got a pretty hefty impact on your earnings per share if you don’t have much revenue growth and we spend that when we think it has a high return, high long term return on investment and so you can have a fairly wide variation in earnings per share and with a small share count on the negative side, it becomes particularly high and frankly on the positive side, it would do the same thing. So just like our new student number, we're comfortable as a management team and as a Board with a relatively high level of volatility in terms of our short-term earnings and so that the necessity or the importance of explaining that and it's impact in the short term around margins hasn’t really been a high focus for us. We believe that we're making prudent investments which will raise owner's value over the long term and that volatility I think will certainly be there in the latter half of this year, as both Dan and Karl have suggested, given the types of investments that we're interested in making.
Corey Greendale: That’s helpful both Rob and Karl, that’s helpful. Just the last bucket, the increased marketing that is totally independent of NYCDA, that is increased marketing for the existing university and Strayer@Work and prior offerings, is that correct.
Daniel Jackson: Some of that is -- accounted for affects NYCDA, but yes, it is broader more higher investment in marketing across particularly Strayer@Work, a little bit for JWMI and the broader university.
Corey Greendale: Okay. All right. I appreciate it very much. Thank you.
Operator: I'm showing no further questions in queue at this time. I'd like to turn the call back to Mr. Robert Silberman for closing remarks.
Robert Silberman: Thank you, Liz. And thank you ladies and gentlemen for participating. We are available for other explanatory calls if you have questions. And we look forward to talking to you again in October. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes the program and you may now disconcert. Everyone have a great day.